Seaspan Corporation (SSW):
Executives: Sai Chu – CFO  Gerry Wang – CEO
Analysts: Ken Hoexter – Merrill Lynch Mike Weber [ph] – Wachovia Omar Nokta – Dahlman Rose Greg Lewis – Credit Suisse Baxter Majors [ph] – Citi Investment Research Urs Dur – Lazard Capital Markets Noah Parquette – Cantor Fitzgerald Justin Yagerman – Wachovia
Operator: Good day, and welcome to the Seaspan first quarter 2009 earnings conference call. Today’s call will be recorded. At this time, I’d like to turn the conference over to Mr. Sai Chu. Please go ahead, Mr. Chu.
Sai Chu: Thank you, operator. Good morning, everyone, and thank you for joining us today. Before we begin, please allow me to remind you that this presentation contains certain forward-looking statements as such term is defined in Section 21E of the Securities Exchange Act of 1934, as amended, certain future events and our operations, performance, and financial condition, including in particular, the likelihood of our success in developing and expanding our business. These forward-looking statements reflect management's current views only as of the date of this presentation and are not intended to give any assurance as to future results. As a result, you are cautioned not to rely on any forward-looking statements. Although these statements are based upon assumptions we believe to be reasonable based upon available information, they are subject to risks and uncertainties detailed from time-to-time in our periodic reports. For more information, please refer to the risk factors discussed in our annual report on Form 20-F for the year-ended December 31st, 2008. We expressly disclaim any obligation to update or revise any of the forward – these forward-looking statements, whether because of future events, new information, a change in our views or expectations, or otherwise. We make no prediction or statement about the performance of our common shares. I will now turn the call over to Gerry.
Gerry Wang: Thanks, Sai. Good morning. Thank you for joining today’s conference call. I would start on slide three of the presentation. During the first quarter of 2009, we continued to generate strong financial and operational results, which is directly related to the company’s fully contracted fee and the high quality counterparties. On the financial side for the first quarter, we reported revenue of $63.1 million. We reported normalized earnings of $18.6 million. And we generated $34.8 million in cash available for distribution. On the operational side, our ships have performed very well at this quarter with the utilization rate of 99.9%. Earlier this month, we took delivery of the CSCL Callao, a 2500 TEU new building. Thus delivery increased the operating fleet to 36 vessels. The CSCL Callao is the seventh in the series of eight 2500 TEU vessels ordered from Yangzijiang Jiangsu shipyard. We’re pleased with the performance of our 2500 TEU vessels, and the strong relationship we have developed with Yangzijiang. Subsequently, the vessels commenced the 12-year six rate time charters with China shipping. During Q1, we also closed the first $100 million tranche of our $200 million preferred share issuance, which Sai will discuss in more detail later on this call. Seaspan also announces that the Board of Directors has decided to temporarily reduce its quarterly dividends from $0.475 to $0.10 per share due to the uncertainties associated with the global recession and the capital markets, particularly the equity markets. Our Board of Directors cannot determine how long this reduction will be in effect. This temporary reduction will enable Seaspan to potentially retain enough customers, additional $100 million per year. By significantly increasing our cash reserves, we have time where we continue to generate priceable revenues and cash flows. Seaspan is well positioned to fund its constructive fleet growth. Management will continue to optimize the company’s capital structure with a focus on further reducing or eliminating our remaining equity needs. Since the beginning of the current economic crisis and the before making the difficult decision to reduce our dividend, Seaspan has pursued a number of potential sources of capital. These options included, additional equity financing, asset sales, and other transactions to mitigate or defer the requirement for equity capital. We successfully issued $100 million in preferred stock to our founders with an additional $100 million to close the fourth quarter of 2009. We also entered into option agreement to defer the delivery of up to 15 vessels. The exercise of these options is subject to obtaining required consent and then we’re working to finalize agreements with our shipyards, lenders, and charters in respect of the defrost. We believe our position to reduce our dividend reflects the extraordinary times we’re confronted with today. The division was extremely difficult and as a matter of fact, the board engaged in independent financial adviser to review management analysis. We hope to improve dividends as soon as feasible after the environment has stabilized. On slide four, we provide an overview of our customer-based. We expected delivery of the CSAV Loncomilla, our 4250 TEU vessel constructed by Yangzijiang shipped out on April 24th, 2009, increased our fleet size to 37 vessels. This vessel will be chartered to CSAV, and we have agreed to charter three additional four-ton 4250 TEU vessels to CSAV in the future. We are aware of media report of the recent ban rate of CSAV’s counterparty credit rating by major credit rating agencies. We’re also aware of property disclosures by CSAV and the one of its charter providers of a possible restructuring proposal. At this time, we have not received a formal proposal from CSAV to renegotiate our time chartered and we expect them to honor their charter commitment. In full, we have 31 of 68 vessels to be delivered over an approximately three-year period. When all have been delivered, approximately 70% of our constructed revenues will be derived from China Shipping and COSCO; approximately 20% from MOL and K-Lines; and, approximately 10% from Capital Large Merge and CSAV, combined. All of our 68 vessels are fixed to customers under time chartered with an average remain duration of approximately 8 years on existing vessels and a year revenues on new building. In addition, we do not expect to have any charter renewed until 2011 as the earliest. While we cannot predict the extent of the global recession and the ultimate impact it may have on the industry, we’ll continue to closely monitor the performance of our charter parties. At this time, all of our charters continue to perform as expected. And that all charter hard payments remain current. In addition, all of our shipyards continue to perform as expected. Before turning in the call over to Sai, I would like to highlight that during this economic crisis, we continue to focus on managing the business, utilizing our conservative approach, and then maintaining fixed and strong, and healthy franchise over the long term. I would like to turn the call to Sai. Sai, please.
Sai Chu: Thank you, Gerry. I will begin on slide 6, detailing our key metrics for the first quarter 2009. Revenues for Q1 increased 16.4% to $63.1 million from $54.2 million last year. Our modern fleet, which was supervised by our manager, helps us continue to achieve a strong utilization. For Q1, we have utilization of 99.9%, compared to 99% last year. One day of minor off hire impacted revenue by $20,000 compared 27 days of off hire, impacting revenue by $488,000 last year. Cash available for distribution for Q1 increased 8.4% to $34.8 million, compared to $33.1 million for the same period last year. Cash dividends paid was $28.7 million for Q1 in the respect to the fourth quarter of 2008. Accordingly, our pay of ratio was 77.9% on a cash basis for the previous quarter due to the drift. As stated on our previous conference call, our founders have committed their common shares to the drift. Operating expenses for Q1 were up 25.8% to $35.5 million due to the operation of a larger fleet and the increase in taxable fees. During Q1 of 2009, we operated at least 35 vessels compared to 29 in Q1 last year. Also, as previously announced, we entered into a three-year tax income management fee effective Q1 ’09, providing Seaspan with a new fixed core structure. Normalized net earnings increased 6.1% to $18.6 million for the quarter. This compares to $17.5 million for Q1 last year. Normalized EPS of $0.25 for the quarter compares to $0.30 for last year. Our normalized net earnings are adjusted primarily to remove non-cash mark-to-market counting equities required for US GAAP. For more information on how to change the share value of taxable income statement income in the balance sheet, please refer to our earnings press release. Including this non-cash adjustment, we reported net income of $24.2 million, $0.33 per share for the first quarter versus a net loss of $37.7 million or $0.65 per share with the comparable quarter last year. As a reminder, we execute six interest rate swamps to mitigate interest rate rift and realize stable and attractive long term cash return to the benefit of our shareholders. Turning to slide 7, we provided a balance sheet summary. As of Q1, we maintain a strong cash balance of $210.2 million with current assets of $216.7 million. Total assets were $3.4 billion, of which $3.2 billion is comprised of operating levels and new build installments. We gained approximately $700 million of debt from our operating fees, $1 billion to fund our new building program, and $395 million from our UK tax fleet. As stated earlier, we’ve obtained a commencement for $3.9 billion of long term debt financing to fully fund the debt portion of our fleet from a diverse group of leading international banks. Relatively, our earliest maturity is in 2015. We continue to maintain strong relationships with our lenders during the challenging market. As a reminder, we do not have traditional value maintenance clauses in many of those debt agreements. And we remain in compliance with all of our covenants. Although the decline in market values may limit this eligibility of the un-drawn amount in our $1.3 billion facility, management remains committed in ensuring the company’s balance sheet’s strength during this period of extraordinary uncertainty in the global economy in an equity market. Accomplishing this critical objective, we’ve taken practical measures that significantly increase our financial flexibility. Specifically during Q1, we cleared the post on the first $100 million tranche under our $200 million preferred share issuance with Dennis Washington, Kevin Washington, Kyle Washington, who is our Chairman, and Graham Porter, another of our founders. This transaction, which demonstrates the high level of costs in our business loan counters was executed at a 57% premium over the closing prices of our common shares at the time the agreement was announced on January 22nd. In addition, 12% dividend for non-cash payment for up to a period of five years enabling us to maintain the cash available to our common shareholders and to fund our capital expenditures. Combined with increasing our cash reverse by reducing our dividends, we’ve made notable progress today in funding our 68-ship $6 billion portfolio while maintaining a quarterly payout. As Gerry mentioned earlier, we reduced and deferred our equity needs to approximately $180 million to $240 million for 24-month to 30-month period commencing in late 2010 to early 2011, compared to $900 million at – which we noted in 2003. So in forward, if we will continue to pursue alternative that will defer or eliminate our remaining equity capital requirement. In working closely with leading shipyards such as Hyundai, Heavy Industries, Samsung, YDJ that have significant experience operating in volatile markets, we expect to take delivery of 32 remaining new build over approximately the next three years. To fund recent of out new build program, Seaspan will operate 68 modern vessels, representing total constructive revenues of more than $7 billion. This concludes our opening remarks. I would now like to turn – the floor for questions.
Operator: Thank you. (Operator instructions) We’ll go first to Ken Hoexter with Merrill Lynch.
Ken Hoexter – Merrill Lynch: Great. Good morning. Gerry, can you–?
Sai Chu: Hi, Ken.
Ken Hoexter – Merrill Lynch: Hi. Can you talk a bit about your rationale for dropping it to $0.10 on the dividend and not eliminating it totally to even get additional capital available? I’m just wondering how you chose the $0.10 as the magic number to reduce the dividend to.
Gerry Wang: Gerry here. Ken, we placed the utmost importance on maintaining our strong dividends, but we also want to take precautions in these unprecedented (inaudible) economic times to protect Seaspan and to maximize shareholder value over long term. And obviously, the most secure and economic solutions to the challenges is to retain cash from operations in order to fund our capital expenditure requirements. While reducing our dividends was an extremely difficult position – difficult position, after capital consideration by our Board of Directors, we also engaged a third-party financial adviser who has no doubt whose actions in the long term best interest the Seaspan and the shareholders. With regards to $0.10 as the number, the decision was based purely on looking through all these scenarios, all the situations. We feel that would be the best number that we’re most comfortable with, given the scenario that we're in. Our Board of Directors have taken this position very seriously. And we believe we’re doing the best for the franchise and it’ll protect Seaspan, but taking the precautionary measures to secure the franchise into a very protective position going forward.
Ken Hoexter – Merrill Lynch: All right. And looking at – you reduce the $500 million to $600 million equity need when you did the preferred offering earlier this year. You still need almost, I guess, more than $200 million, or give or take there about. What are your thoughts – looking at what’s gone on in the market? How obviously the container ship market is with the number of vessels that are parked right now? What do you think about that overhang, as well as – maybe if you can get into some of the details about what vessels are being delayed and what you can do about maybe even eliminating some of that, given that 20% of the fleet that’s parked right now?
Gerry Wang: Ken, we believe the $200 million overhang, which would only start from the end of 2010 and early 2011, is a very reasonably manageable level. Our Board of Directors is still very comfortable at that level we’ve arrived at. And with regard to the further defroze [ph], we’re still in the process of finalizing the discussions and agreements with our bank, with the builders, and with our charters. And we have a precise delivery schedule once all those agreements are finalized.
Ken Hoexter – Merrill Lynch: I’m sorry. So your thoughts on the ability to delay – I know you said in the release you’ve worked to delay some of them. Are you going to provide specifics on which ones are delayed and how long they’re delayed for?
Gerry Wang: Ken, we’re not in a position to give details of the delays. We’re still in the process of finalizing discussions on the agreement with our bank, builders, and charters. Once those agreements are finalized, we’ll be in a position to advise you with great detail.
Ken Hoexter – Merrill Lynch: Okay. So nothing’s been actually confirmed yet as far as or locked in as far as any of the vessels being officially delayed?
Gerry Wang: That’s a work in process.
Ken Hoexter – Merrill Lynch: Okay. You mentioned a lot about CSAV and their ability to – they’ve opened up a contract discussion with another carrier. And I believe you said you haven’t been approached by anybody to delay any – what about Hapag-Lloyd? Have they talked about any of these contracts? I know you’ve got three-year renewals and you were planning on those being automatically renewed. I wonder if what used to be viewed as an automatic renewal now is no longer such an automatic on a ten-year charter?
Gerry Wang: We have not received any renegotiation request from Hapag-Lloyd, and as a matter of fact, any other charter for the renegotiation discussion.
Ken Hoexter – Merrill Lynch: Okay. Great. Thanks for the time.
Gerry Wang: Thank you.
Operator: We’ll go next to Justin Yagerman, Wachovia.
Mike Weber – Wachovia: Hey. Good morning, guys. This is Mike Weber [ph] filling in for Justin. How are you?
Sai Chu: Thanks.
Gerry Wang: Great.
Mike Weber – Wachovia: All right. Just a couple of quick questions going back to the dividend cut. Maybe if you can provide a little bit of guidance as far as what sort of benchmarks you’ll look for, for any reinstatement? And maybe just a little bit more clarity around what’s changed between now and last quarter? Obviously the container ship market was in pretty bad shape then as well. From a capital funding standpoint, what’s really different in your outlook that makes you think that you need to start preserving this cash?
Gerry Wang: Well, the main problem in here is really the – would be really the global capital markets that have deteriorated, especially the equity markets have not improved to help us. While the container market has been through some difficult times, we certainly are fully aware of that. But as I’ve said, we have strong portfolio of charters and also I’ve said we have not entered into any renegotiations or anything. So we are comfortable. We expect our charters to perform. At this point in time we really have nothing to report.
Mike Weber – Wachovia: Sure. And as far as benchmarks for reinstatement, any – how do you think about that?
Gerry Wang: What will be happening is our Board will review the situation and the climate as marketing additions on cost in the basis. Then our Board will make a decision from there. And I believe our decisions will be made very carefully and we’re looking forward to the other developments and changes in the future.
Mike Weber – Wachovia: Okay. And getting back to CSAV, some of the details, reports that were out earlier in the quarter were there will be potentially equity payment as opposed to cash. I know they had not approached you yet, but is that something you would even consider? Any clarity you can give us on that , now?
Gerry Wang: We have advised CSAV twice that Seaspan is not interested in charter party renegotiations. That’s our position. I want to highlight, out of Seaspan’s portfolio, for all the 68 ships fully delivered, we have 70% of revenue coming from COSCO and China Shipping, 18% are from MOL or K-Line, and 10% from Maersk, Hapag-Lloyd, CSAV combined. Specifically, CSAV revenue will account for approximately 2% to 2.5%. So it’s a minor situation for us.
Mike Weber – Wachovia: Going back to what you said at the beginning of the answer, you’ve gone back to CSAV twice already to tell them? Just to preemptively tell them you wouldn’t take equity?
Gerry Wang: Correct.
Mike Weber – Wachovia: Okay. All right. I think that’s it. That’s all I have. Thanks for the time, guys.
Sai Chu: Okay. Thanks, Michael.
Operator: We’ll go next to Omar Nokta, Dahlman Rose.
Omar Nokta – Dahlman Rose: Thank you. Hey, guys.
Sai Chu: Hello, Omar.
Omar Nokta – Dahlman Rose: Hi. I just want to get a sense of – I know you’re still working out the delays on your new builds. I just wanted to get a sense of how you see your CapEx requirements right now for the next three years? Is it pretty evenly split between that $2 billion, say $700,000 each for the next three years?
Sai Chu: Hey, Omar. It’s Sai. Yes, I’d say it’s going to be 2012 for about $350 million or so. 2011 and 2010 are about evenly split.
Omar Nokta – Dahlman Rose: Okay. And then do you know how much is due this year?
Sai Chu: There’s not much left this year.
Omar Nokta – Dahlman Rose: Okay.
Sai Chu: We said publicly we’d deliver six to nine ships. It’s going to be probably in the lower range of that at six to nine. They’re not big ships, so it’s perhaps $100 million to $200 million of additional CapEx.
Omar Nokta – Dahlman Rose: Okay. I know you were talking before about taking delivery of your full fleet of 68 ships and you’ve been working – getting some delays with your orders. I’m wondering if cancellations are something that’s in the works as well. Is that something you see happening? Or are you more looking towards just delays?
Gerry Wang: As far as cancellations are concerned, we don’t see a high possibility at this point in time.
Omar Nokta – Dahlman Rose: Okay. And then I know Gerry you’ve said in the last conference call when asked about some of your initial fleet’s contracts have come up open for renewal in 2011 and 2012, that there is a two-year warning. Not warning but do they have to give you a two-year notice ahead of time if they’re not going to re-extend it?
Gerry Wang: Specifically for Hapag-Lloyd charter, they have to give us two years advanced notice. As of now we have not received any – we did even notice for all the vessels, their just natural expiration.
Omar Nokta – Dahlman Rose: Okay. Okay, that’s all I have. Thank you.
Sai Chu: Thanks.
Operator: We’ll go next to Greg Lewis, Credit Suisse.
Greg Lewis – Credit Suisse: Thank you and good morning.
Gerry Wang: Hi, Greg.
Greg Lewis – Credit Suisse: Gerry, I have more of a macro question on – you had just given – specifically asked Korea that the recent announcements to support their shipbuilding industry and their overall shipping industry. Longer term, how do you think that plays out in the overall health of the container shipping industry?
Gerry Wang: Realistically, as I said, I don’t think – that has much impact on the overall container ship order book. I think the main driver behind the container order book, whether or not those ships will be delivered, is really the financing availability. As far as we know, a number of ships that have been ordered have not been able to secure long term flexible financing. That would have a much major impact on the ships actually to be delivered. As a matter of fact, I just don’t think the debt financing situation has improved over the last six months and the Korean government is doing whatever is possible to protect the order book. But I think the major issue really comes from the financing availability.
Greg Lewis – Credit Suisse: So when you say that without that financing, those ship does not get built?
Gerry Wang: The shipyards will not deliver the ships to the owners without being paid. That’s for sure.
Greg Lewis – Credit Suisse: In previous shipping troughs in the shipbuilding industry, have the shipyards just gone ahead and built the ship and either operated it themselves or – historically, what has happened to those ships that simply couldn’t be paid for?
Gerry Wang: Greg, I don’t think this time that that would get repeated. The main reason is this time the challenge really comes from the financial industry. Simply, there’s no money there. During previous cycles the banks will always help it.
Greg Lewis – Credit Suisse: Okay. Thank you.
Gerry Wang: Thank you.
Operator: We’ll go next to Matthew Troy – Citi Investment Research
Baxter Majors – Citi Investment Research: Hey, guys. This is Baxter Majors [ph] just filling in for Matthew Troy this morning. How are you doing?
Gerry Wang: Good. How are you?
Baxter Majors – Citi Investment Research: All right. You were just talking about the lending capacity not improving in the shipping industry. I was wondering what your thought are on how that settles out eventually and what sort of changes that could imply for a model like yours?
Gerry Wang: I believe the ship finance world will change considerably in the future, specifically with the following features. Number one, the percentage of finance will be much less than before. I believe it will be down to 50% to 60% versus 80% to 90% last year and the year before. Number two, the credit worseners [ph], i.e. the owners and the charters, the requirement will be much higher. Number three, the cost, the spread will be much higher. And number four, the portfolio, i.e. repayments and the tenor, will be much shorter and the repayments are much earlier. Additionally, I think you have to carry local containers. In other words, the banks will prefer they finance transactions that are either domestic or with national interests behind. And that would make ship finance much more difficult in the future. Sometimes I use the expression, ship finance in the future will be – ship owning in the future will be a luxury business. We believe that would benefit Seaspan in long terms because they’re moving conservative. We’ve been pursuing low leverage and then we’ll also pursue the highest credit worthiness of our charters. So we’re looking forward to the changes in the future.
Baxter Majors – Citi Investment Research: So how do you position yourself to take advantage of that tighter market in the future and what do need to do to your model to get ready?
Gerry Wang: I believe if we continue to run our business very conservatively, be very prudent in our management of capital structure, make sure that control in our debt ratio very conservatively, I think we’ll be quite well positioned. Again, given our exposure in China and Asia, and our relationship with all the Liner majors, I now expect to some capital capacity, especially from China, from Asia. I think we’ll be quite well positioned to take advantage of the opportunities in the future.
Baxter Majors – Citi Investment Research: Great. Thanks. Currently, I know you said in your release that’s there’s been no covenant violations. Can you give us an idea of where you sit as far as proximity to those covenants and how comfortably you feel right now?
Sai Chu: We’re very comfortable. We have no covenant issues. We’re well in line with and have lots of excess. So we have no issues with our covenant.
Baxter Majors – Citi Investment Research: Okay. So the equity requirements assume that you can borrow – your timeline for equities assumes you can borrow up until the end to fund your book.
Sai Chu: Yes. That’s right. I mean end of 2010, early 2011.
Baxter Majors – Citi Investment Research: So what is the – is it along the value? What exactly is the one you expect to trigger as you continue borrowing?
Sai Chu: The gearing ratio is the one that – is one of the requirements to raise the equity.
Baxter Majors – Citi Investment Research: Okay, guys. That’s all I have. Thank you.
Sai Chu: Okay.
Gerry Wang: Thank you.
Operator: We’ll go next to Urs Dur, Lazard Capital Markets.
Urs Dur – Lazard Capital Markets: Hi, guys.
Sai Chu: Hi, Urs.
Urs Dur – Lazard Capital Markets: I only have a couple of things left. A lot of ships as we know are relatively idle. I know that your charters enjoy – have quite an enjoyment of the vessel. But do you have any news of your specific ships, and I know it’s not something that you track everyday, of your specific ships sitting. And if so, how many?
Gerry Wang: We have only two ships that sit idle right now. One is a five-ton TEU. Another one is a four-ton TEU. But I’ve heard from the charters, those two vessels will be activated pretty soon. As far as our operating fleet is concerned, it’s just almost fully employed.
Urs Dur – Lazard Capital Markets: Okay. So in general, you’re saying that your charters at this point in time are still enjoying the rates you guys are offering and are operating your ships, as opposed to many others?
Gerry Wang: That’s how I though it was. As far as we’re concerned, the ships are working for us. The decision to idle the ships is entirely charters’. We have no connection with that. And at the end of the day, we know we get paid regardless of the employment of those ships, whether idling or with reduced load factor for those ships. That’s the nature of our long term charter coverage.
Urs Dur – Lazard Capital Markets: Yes. Sure. Of course. Obviously, if the counter party is still healthy. You mentioned it in the release but can you define to us how liquid are you? What’s your best view to 20 to 24 months? But what’s your best view on raising equity, or are you guys fine until this point next year? You have nothing to do? I know you’ll do it opportunistically, but when are you really forced to do things?
Gerry Wang: That would depend on the future developments. Right now, looking at the very end of 2010 or early of 2011, our Board of Directors will continue to review the situation on a quarterly basis and they will continue to monitor the equity market development. We’ll act very prudently and opportunistically. Whenever there is an opportunity then we’ll take advantage of that.
Urs Dur – Lazard Capital Markets: And regards to the dividend cut, do you guys – are pointing at – are being paid? EPS is coming in as expected. So clearly, the Board is very worried about the near term and the equity markets, number one, to raise equity but also concerned about the condition of the container industry. What’s your view personally, about the container industry going forward? And I presume your going to say, ‘well we do expect it to get healthy again.’ Do you have any highlights as to what you personally think about when we might see some signs of strength? And what do you look for in terms of strength in the overall container sector, or revival, or stabilization? What are you looking for on a daily basis?
Gerry Wang: Basically, my sense is that firstly, I want to make it clear, the decision to reduce dividends temporarily is a very precautionary measure. And we’re under no conditions, any requirements to do that with regards to the bank covenants or other requirements–
Urs Dur – Lazard Capital Markets: Sure. That’s understood.
Gerry Wang: And in terms of the recovery of the container market, I would bet on 2010 spring time, second quarter of 2010.
Urs Dur – Lazard Capital Markets: Yes, but what? I'm sorry to press, but what items would you look at that would give you some hope that that quarter that you just identified is a possibility for it to get better? Is there something specific that you at Seaspan tend to look at in the market.
Gerry Wang: What we look at is really the demand and supply situation. And as for the demand, hopefully, we'll improve towards the second quarter of 2010. And at the same time, on the supply side, we believe a lot of new ships will not be delivered because of the lack of viability of financing and some other reasons. And that you will see a lot of defaults, you will see a lot of – enough (inaudible). And then with a – the overall supply situation will be improved. And we're looking forward to possible recovery from second quarter of 2010.
Urs Dur – Lazard Capital Markets: Okay. Thank you very much. Thanks a lot, guys.
Sai Chu: Thank you.
Operator: We'll go next to Noah Parquette, Cantor Fitzgerald.
Noah Parquette – Cantor Fitzgerald: Good morning, gentlemen. A lot of my questions have been answered, but just a quick follow-up on potentially delaying Terra Neuville [ph] schedule. Your equity funding refunds of $180 million to $240 million, does that take into account those options? Or is there some potential to reduce that further?
Sai Chu: It takes into consideration whether or not those options are deferred so that's why we say the range. And–
Noah Parquette – Cantor Fitzgerald: Okay.
Sai Chu: Yes, I know. So if we don't exercise the options, it's within that range.
Noah Parquette – Cantor Fitzgerald: Okay. The low end of the range, I assume, it's – you are able to defer more ships.
Sai Chu: Correct.
Noah Parquette – Cantor Fitzgerald: Okay. And then, just an accounting question on the preferred stock, how does that account for in the income statement? What's the conversion price unit too?
Sai Chu: Well, we are – it's on the balance sheet at the cost of $15. So there's no – can I thresh that out offline with you?
Noah Parquette – Cantor Fitzgerald: Okay. Thank you.
Sai Chu: Thanks.
Operator: We'll go next to a follow-up from Justin Yagerman, Wachovia.
Justin Yagerman – Wachovia: Hey, guys. Just a couple of quick follow-ups on the way (inaudible). Is it safe to assume – if you've got the 15 vessels that you could possibly delay and not identifying which one, is there delivery inside of the year. And they probably had steel laid down at this point. Is it safe to safe that there's not going to be a wait or do you think you still have some play there?
Gerry Wang: Again, looking in progress, and we are discussing with the builders, with charter, and of things, trying to summarize agreements that should be in – that's outcome possible. Well one thing on the highlight here is really, at this point in time, our (inaudible) really want to avoid deliveries for November, December, January, or February, the float season. As a matter of fact – our policy and our staff, we work charter to try to deliver the ships to charter's – avoiding those – the float season. And also, as you know, if you have a ship to be delivered in November, December, it is also in Seaspan's interest to have the ship delivered in January or February the following year so that the ship is one year.
Justin Yagerman – Wachovia: Yes. It will look younger, right? Yes.
Gerry Wang: Yes. We're taking into account all of those things. Then we'll be working with charter all the time. During good times, we try to advance. And during bad times, we try to delay a little bit, avoiding those flu season.
Justin Yagerman – Wachovia: Okay. So I guess what you're saying is there is still some play and it may – they may not still lay down. You're still not going to be able to delay those a little bit.
Gerry Wang: Again, we're in constant discussions with charters and builders, and the banks, depending on the market conditions. As I said, if the markets improve earlier, then the ships probably would be pushed for delivery a little earlier. And if market conditions continue to deteriorate, then probably the ships will be delivered even a little later. Again, it's a work in progress. And we're continuing to look at the market conditions. And we're trying to formalize the agreement with the parties involved.
Justin Yagerman – Wachovia: Got you. All right. And then I guess, just finally with the vessels that are tied up right now. Have you guys noticed any sort of ships. And I guess, it's the size of the vessels that are being – they're being taken out of circulation. We're seeing some larger vessels now being taken out – taken off the service to let smaller vessels come back on the service or could be a shorter term run rate of lower demand. Have you guys seen any ships there whatsoever.
Gerry Wang: Yes. If you look at the ships in the (inaudible), basically, you look at two categories. The first category would be the tugboat ships that are too small for the major trade and too big for the smaller trade, or you say (inaudible), which we don't have, fortunately. And the second category would be those ships that have just come out of charters, the short term sport charter ships. And so these two are the two main categories of ships that are not employed.
Justin Yagerman – Wachovia: Okay. All right, guys. Thanks again for the time.
Sai Chu: Thanks.
Operator: That does concludes today's question-and-answer session.
Sai Chu: Thank you.
Operator: This also concludes today's Seaspan first quarter 2009 earnings conference call. We thank you for your participation. You may now disconnect.
Sai Chu: Thank you.